François-Henri Pinault: Good morning to all of you, and welcome to Kering's 2022 Full Year Results Presentation. To begin this session, I will go over last year's key takeaways and our aims for 2023. Jean-Marc Duplaix, our Chief Financial Officer, will go over the 2022 operational and financial highlights. And finally, together with Jean-Francois Palus, the 3 of us will be available to answer all your questions. Kering reached many milestones last year, and yet, I'm not going to pretend that the results we are presenting today are up to our ambitions or that I am satisfied. They are not at the level of our expectations and potential. We have reasons to be pleased with the overall performance of all our other houses apart from Gucci. They accounted for nearly half of our total revenue in 2022. However, at our largest brand, the results disappointed. So I will review everything we have done and are doing to correct this. As you know, we also suffered the impact of an unfortunate incident at Balenciaga towards the end of 2022. For years, we've had the processes in place to avoid such situations. And despite their activation, we made a clear error of judgment with no intention at all to shock, to provoke or to hurt anyone. So I take full responsibility for this episode, and I present our apologies to anyone who was affected. We have now completed a comprehensive review of our procedures together with outside consultants, and we are building additional oversight at group level with authority across all our houses to prevent, of course, this from happening again. And despite these setbacks, I am more than ever convinced that we are implementing the right strategy. Our 47,000 people are incredibly talented, committed, and they all share the right culture. Our soft luxury brands are among the most solidly established as well as the most desirable and innovative in their respective segments. The initiative we have taken to further build our jewelry category and Eyewear activity are bearing fruit. So our strategy is straightforward. We invest in our houses, and our stewardship goes well beyond funding. We provide them with all the resources they need to thrive. And I mean expertise, culture, responsibility and first and foremost, talents on which brand health and longevity depend. Most of our houses existed long before any of us were around, and they will be around long after we've gone and their power far exceeds that of any individual. The aim of our stewardship is to nurture our houses' desirability not just for next quarter, not just for the next year but for the long run. And to do that, we work on all the levers at our disposal. Pricing power, growth, market share gains and ultimately, profitability all derived from the desirability of our houses, of their creations, of their distribution and of their image. In the short term, we are devoting 2023 to making sure our houses enjoy market position aligned with their heritage and creativity, starting with Gucci, of course. And this is not something that will happen overnight, but we've already done a lot in 2022 across various areas. And I have no doubt that 2023 will mark another important step in this process. Let me begin with Gucci, which is obviously our top priority because it's our largest asset and because it did not perform at the top of its game in the recent period. But the headline figures should not overshadow the considerable work we have already done to strengthen Gucci's fundamentals. I'm not going to start with the replacement of the House Creative Director. We are, of course, very excited that Sabato de Sarno will join Gucci. His talent is undeniable, and the vision he proposed during the search process resonated very well with everyone at Gucci and Kering. His appointment, however, is the end result of a process that was underway and that's what I should discuss first. As you well know, our aim at Gucci has long been to foster continuous elevation of the brand across everything it does, striking the right balance in terms of distribution, in terms of clientele, product offering and positioning. The most visible part of this work has been the enhancement of its distribution. And now the reduction of wholesale is complete. At the same time, we are constantly enriching and fine-tuning Gucci's retail setup. In fact, the world keeps on moving, so we adapt our network to changing geographies and to changing urban dynamics. We also accommodated it to better serve the desires of very important clients with the Gucci Salons we are hosting in key locations. Gucci has also intensified its approach to locals with a particular focus on the very top end of the luxury consumer spectrum, heightening clienteling and customer experience. And work is being conducted systematically on each individual product and on the structure of the offer with an eye to uncompromising quality, exclusivity and, of course, pricing. In 2022, for instance, Gucci AURs were up double digit, while sales of High Jewelry more than doubled. Among top luxury houses, Gucci stands out for its creativity and its ability to constantly reenergize itself with style and at the same time, stay true to its deep-rooted codes. It became clear last year that the inflection in the balance between fashion and heritage, we want to achieve at Gucci and that the elevation orientation that I want to give to the brand would require a new master mind. In the meantime, we had already started reinforcing the house's setup and expanding its creative studio, as you will remember from our CMD last June. Gucci's new Creative Director will benefit from the support and cooperation of this deeper organization in terms of merchandising and collection structure, in terms of image communication but also events, store setups and so on. Gucci status as one of the world's top megabrand is secure. It sales exceeded EUR 10 billion for the first time last year. It enjoys a unique DNA and codes we are carefully cultivating. Its scope, attractivity and potential surpass the powers of any one individual. It's talent pool is huge. Its profitability remains in the top tier of the industry with a significant potential for improvement. Most importantly, Gucci is at the very core of Kering. Like all our houses, it benefits from our management expertise, our growth platform and financial support. I am firmly committed to getting Gucci on track for sustainable growth over the long term. All our other houses delivered an outstanding 2022. Together, their combined revenue increased by about EUR 2 billion, and the operating income rose by approximately EUR 500 million. Their foundations are solid, and they all gained in visibility, in influence and authority last year. Saint Laurent once again delivered on its ambitions jumping ahead of the EUR 3 billion mark and achieving a material increase in profitability. Continuing to elevate the brand, building on its legacy while demonstrating its audacity, Saint Laurent is well on its way to achieving the EUR 5 billion target we disclosed to you last June. Bottega Veneta also had a milestone year, further raising its ultra-high-end luxury positioning, thanks to his constant attention to brand equity, excellence in distribution and customer relationships. A number of initiatives, including a lifetime warranty program for its most iconic items, will further reinforce the house timeless values. Balenciaga's trajectory through November 2022 was spectacular, demonstrating its ability to dig deep into its archives to create an unparalleled blend of legacy and modernity. And of course, we are determined to patiently rebuild the trust of Balenciaga customers, who have propelled the house to this level of performance. I am pleased with the execution of Alexander McQueen, whose distribution as well as product offering are getting more and more exclusive. Brioni for its part is confirming its rebound and should leverage the renewed appetite for formal wear. In Jewelry, we are investing to build organically a powerful presence. It experienced sharp growth last year. And in the not-too-distant future, our Jewelry activities should exceed the EUR 1 billion in annual sales. So each on its way, on its own way, Boucheron, Pomellato and Qeelin, they are implementing strategies that make them stand out in the demanding Jewelry and High Jewelry world. Another segment we have built over time, first from scratch and more recently, from acquisitions actually passed the EUR 1 billion threshold last year. Kering Eyewear posted outstanding growth across all its brands, while the integration of Lindberg and in the last quarter of Maui Jim went very well. We are very pleased with the addition of these 2 remarkable companies, illustrating the success of our targeted M&A strategy. As you've seen from the release we put out a couple of weeks ago, we have taken a new step in developing the group expertise in beauty. We are still in the early stages of the strategy that will require time and persistence. And we believe in this enormous potential for some of our brands. Some of our brands where it has clearly been inefficiently exploited. I am proud of the progress in terms of sustainability and social responsibility our teams have made in 2022. And when I say our teams, I'm not just meaning those who are dedicated to this subject, but I'm talking about everyone in their day-to-day work, that are challenging their practices and habits for a cause that is greater than us. I am proud to see our EP&L improve in absolute value for the second year in a row, thanks to such achievements as Kering's 100% reliance on renewable electricity already in 2022. Also proud to have launched the first employee shareholding plan in Kering's history, which gave most employees the opportunity to become shareholders on preferential terms. The confidence of so many Kering people is a powerful symbol for me. Proud to see Kering recognized for the 10th consecutive year by the Dow Jones Sustainability World Index, which rewards the best performing companies worldwide in terms of ESG. I'm proud to have set up our first climate fund for nature, an innovative carbon fund to which we have committed EUR 100 million, we have already been joined by L'Occitane for EUR 40 million, and we plan to reach $300 million in the midterm with new partners. But beyond this pride, we remain lucidly ambitious, Lucid about the fact that we cannot save the planet alone, but ambitious that we must do our part as well as we can. And this is why we appointed a climate change lead to our Board of Directors with the mission of helping the Board integrate these issues into its work. and why also we created a sustainable finance department to take into account the evolution of extra financial considerations. And this is also why Kering will commit to monitor its carbon footprint with a clear target of reducing emissions in absolute terms by 2035. And I insist on this absolute reduction because it is no longer sufficient to be satisfied with relative figures. Finally, this is why we will go further with other players in the sector, notably within the Fashion Pact and the Watch and Jewelry Initiative coalitions. Competition in the marketplace is a good thing in terms of creativity and business, but it is Union that makes us strong in the face of climate change and the erosion of biodiversity. Now I will leave the floor to Jean-Marc to review our 2022 performances. Thank you.
Jean-Marc Duplaix: Thank you Francois, and good morning to all of you. Let's start directly with some highlights of our financial results on slide 9 to 11. First, revenue passed the EUR 20 billion mark at EUR 20.4 billion, up 15% year-on-year in reported terms and 9% comparable. To bridge comparable and reported figures, you have 1% positive scope impact. The disposal of our watch business being more than offset by the integration of Linberg on a full year basis and that of Maui Jim starting from Q4. FX for its part provided a 5% tailwind. Looking at our geographical mix, the major change is the weight of Western Europe, now at 27% of total or 4 percentage points higher than last year. Conversely, Asia Pacific share went down 5 points at 33% of full year revenue. The weight of the other regions did not move much. I will elaborate later on the trends by regions underlying this year's breakdown. At EUR 5.6 billion, a new high, recurring operating income was up 11%. Our operating profit margin remained very substantial at 27.5%, although implying a 90 basis point dip compared to last year. Operating deleverage was concentrated in the second half as we face more challenging top line trends and continued investing in our houses to nurture brand equity, fuel future growth and build long-term value. Our houses are at different stage of maturity and scale all contributed to EBIT growth, showing the potential of each and every one of them. And most of them also delivered nice improvements in profitability. Next, at EUR 3.2 billion, our free cash flow generation was healthy, although lower than last year. We increased CapEx by 15% or nearly EUR 140 million, translating into a stable CapEx to sales ratio of 5.3%. This is within our run rate range, and CapEx was largely used to fund the development plans of our houses. Operating working capital at year end stood at 16.6% of revenue, a contained increase compared to last year's level, which was on the low side. Net debt ended at EUR 2.3 billion after dividend and share buybacks lifted our shareholder return by a substantial EUR 1 billion to a total of EUR 2.6 billion. In addition, the acquisition of Maui Jim was cashed out in H2. On slide 12 to 14, a deeper dive in revenue trends. First, growth by channel that we have been reporting at group level since the beginning of the year. Retail represented 78% of 2022 group revenue and was up 10% comparable in the full year. Compared to 2019, retail was up 31%. A few comments here. Included in retail, e-commerce grew 11% comparable. So its penetration on retail sales is unchanged at 15%. Our houses added 100 net units to their store networks, mostly to expand their footprint in North America, Asia Pacific and the Middle East, where some retailization took place, especially in Saudi Arabia. As you see, Q4 was challenging in retail, down 8% comparable. The key drivers behind this deceleration are familiar to you, mainly deteriorating trends in Mainland China. In North America, we were also facing a demanding comparison base as well as U.S. nationals purchasing abroad. Wholesale and other revenue were up 6% comparable year-on-year in 2022. Consistent with our move towards greater distribution exclusivity, this channel was broadly stable for our luxury houses. For their part, Kering Eyewear and Royalties posted very good performances in the year. Now, turning to retail trends by geographies. They varied widely during the year and Q4 was no exception. In the quarter, Western Europe grew 16% year-on-year or 11% compared to Q4 2019. Purchases by American, Middle Eastern and non-Chinese Asian tourists were up sharply, complementing healthy local demand. Looking at the full year performance. Western Europe was the fastest-growing region in retail, up 56% year-on-year and 11% above 2019, although tourism is still around 20% below pre-COVID levels. In North America, after a solid first half, trends moderated in Q3 and even more in Q4, with growth turning negative year-on-year. Locally, demand was less supportive, but we continued to enjoy very strong growth with U.S. nationals in Western Europe. Excluding Gucci, the U.S. cluster was positive in the quarter. Looking at the full year, retail in North America is up 4% year-on-year and over 80% above 2019. Japan had a good fourth quarter, up 14% year-on-year, a substantial acceleration on a 3-year stack. Our houses continued to engage successfully with local clients. They also benefited from the countries reopening to tourists who took advantage of a favorable pricing environment due to the relative weakness of the Yen. On a full year basis, Japan retail was up 25%, but still only 9% above the pre-covid level. On slide 14, Asia Pacific was back into negative territory at minus 19% in a challenging quarter. This was driven by new COVID-related disruptions in Mainland China, which ended down around 30% in the quarter, though not uniformly across houses. Hong Kong and Macau were also under pressure, while positive trends elsewhere in the region were confirmed, especially Southeast Asia. In the full year, retail in Asia Pacific was down 7%, but with healthy growth in key established or emerging markets such as Korea, Singapore, Malaysia, Thailand and Australia. Finally, rest of the world was unchanged in Q4 with Latin America and the Middle East supportive, but Eastern Europe dragged down by Russia. Full year revenue was up 18%. I will now provide comments on our individual houses, starting with Gucci from Slide 15. Revenue for the full year came close to EUR 10.5 billion, up 8% reported and 1% comparable. Retail also up 1% comparable, accounted for 91% of sales as wholesale rationalization is now over. Wholesale was unchanged versus 2021 and close to 40% down compared to 2019. Against a demanding year-on-year comparison base, especially in Europe and in the U.S., Gucci's Q4 performance was weak, down 14% and 15% in retail and not up to the house's potential. However, we also see some very positive signs. Gucci's continuous elevation strategy is yielding results with higher AUR impact across all categories coming both from the collection structure and pure price increases. Conversely, traffic trends were uneven across regions with a sharp drop in Greater China. Product wise, Gucci made further progress in reinforcing its core leather goods business, refreshing its iconic offer and introducing new lines. The focus on its travel heritage with high visibility campaigns and dedicated retail spaces resonates well across regions. Gucci posted recurring operating income of EUR 3.67 billion, a 35.6% margin, 2.6 points below last year. Gucci sustained investments in such key areas as design, digital, client experience, clienteling and communications to strengthen business fundamentals and support long-term growth. Although the step-up in operating expenses was mostly concentrated in the first half, weaker top line trends, especially in Q4, resulted in greater operating deleverage in the second half. CapEx was up but at a normative level as a percentage of sales, supporting Gucci's elevation strategy through a mix of refurbs, openings and relocations. The net store count increased by 27 units, mostly in Asia and North America. Starting from slide 18, some highlights on Saint Laurent, which is consistently delivering on its ambitions. At EUR 3.3 billion, full year revenue was up 31% reported and 23% comparable, another remarkable year for the house. Revenue is now well above the ambition presented in 2017. Retail representing 77% of revenue drove growth up 28% comparable. Looking into Q4, revenue was up 4% comparable with retail up 7%. Saint Laurent had strong performances in Western Europe, Japan and the Middle East and resisted well in Asia Pacific. On an extremely demanding comp base in North America, the trend was less supportive this quarter, but the U.S. cluster is resilient. By product category, leather goods and ready-to-wear led growth, another testimony to the success of carryovers together with broad appreciation on the fall and winter collections. Wholesale was up 6% comparable in the full year and down 13% in Q4. As anticipated, this stems from the rationalization of this channel, both through conversion of retail of some operations and increasingly exclusive distribution. Recurring operating income stood above EUR 1 billion at 30.9% margin for the full year. Reaching this new threshold is the natural outcome of gross margin improvement, driven notably by channel mix and pricing power, together with operating leverage. Saint Laurent executes on its elevation strategy with method and determination. It entails material investments to further enhance brand visibility and desirability, ensure best-in-class client experience with a strong focus on locals. CapEx was up as the house deepened and expanded its penetration in key markets across regions, though it added only 12 units during the year. Part of the envelope also related to high-profile store projects in preparation for next year as well as ongoing investment in production capacity. Moving to slide 21, Bottega Veneta, for which 2022 was a milestone year in its journey to an always higher positioning. Bottega Veneta's full year revenue exceeded EUR 1.7 billion, up 16% reported and 11% comparable. As well, it was retail, accounting for 78% of sales that fueled growth. Wholesale was stable, in line with the house's strategy. In Q4, revenue was up 6% comparable, of which 4% in retail. The house was impacted by the situation in Greater China, but had solid performances in Southeast Asia as well as Japan, historically a very important market for Bottega Veneta. North America was soft, but the U.S. cluster was positive and contributed alongside locals to the good performance in Western Europe. Bottega Veneta's sound growth is realized with a very limited increase in store count and a healthy mix of existing and new clients. Highly creative and desirable, the house's iconic lines and new collections are fueling its ultra-high-end positioning and entail significant pricing power. Bottega Veneta's long-term strategy focuses on ever more exclusive distribution, upscaling its store network and reducing the contribution of wholesale. Recurring operating income was EUR 366 million, up 28%. And profitability is expanding consistently now at 21%, a margin improvement of close to 2 points, while Bottega Veneta reinvests in brand equity, communications, excellence of client experience, operating leverage is driven by higher sales density, gross margin improvement and scale. CapEx is up on store network upgrade. Openings remain very selective. The focus being on strategic relocations, store enlargement and enhanced concept rollout. From slide 24, our other houses where our focus on fostering growth is bearing results. Revenue in 2022 was up 18% reported and 16% comparable with a negative 2% scope impact from the disposal of our watch brands. Altogether, our other houses are now approaching the EUR 4 billion revenue mark. This was achieved despite a challenging Q4, down 4% comparable. Wholesale was a significant drag, down 26% as our houses continued to tighten control over distribution, streamlining the selection of doors and carefully managing deliveries to this channel. Retail for its part was up 2% with similar regional trends as discussed earlier. Moving to some comments by house. In soft luxury, Balenciaga had a banner year, delivering a balanced growth across product categories, thanks to confirmed traction in leather goods and sustained appreciation of its ready-to-wear and shoes collections. As you know, the end of the year was difficult, the controversy impacting trends in December. Alexander McQueen also had a challenging Q4, but continued to make nice progress in its core ready-to-wear offer and to gather momentum in leather goods moving towards more balanced growth drivers. Brioni posted a solid performance during the year and proved resilient in Q4 with positive retail trends in Japan and Western Europe. Our Jewelry houses continued to show their momentum in Q4, ending another outstanding year on a high note and reinforcing their position as a substantial growth engine. Capitalizing on its turning high jewelry and jewelry offerings, a blend of tradition, modernity and innovation, Boucheron is delivering consistent double-digit growth. Pomellato sustained a high performance level, particularly in Western Europe and Japan. And Qeelin achieved nice growth in Q4 despite its heavy exposure to Greater China. Recurring operating income was EUR 558 million, a 22% increase, yielding a 14.4% margin, up modestly year-on-year, we continue to invest along the year to develop our houses while top line growth was materially higher in H1 compared to H2. This combination led to a atypical margin profile between the two halves in soft luxury, where results were consistently solid for our jewelry houses. CapEx was up, reflecting the plans to increase brand penetration. A few words about Kering Eyewear and our corporate segment. On slide 28, revenue at Kering Eyewear passed the EUR 1 billion mark this year, firing on all cylinders. Reported revenue was up 58% in the full year, fueled by sustained organic growth, up 27% comparable and by a 25% scope contribution from the two recently acquired brands, Lindberg and Maui Jim. Q4 confirms the strength of Kering Eyewear, up 30% comparable and 84% reported with the inclusion of Maui Jim. I remind you that Lindberg was already consolidated in Q4 last year. Momentum was sustained across the brands in the portfolio as well as in the different distribution channels and regions. Recurring operating income of those segments as a whole was EUR 88 million negative, an improvement of nearly 50% year-on-year. On one hand, Kering Eyewear operating income stood at EUR 203 million, 2.5x the 2021 level. Its profitability increased significantly, reaching 18.2%, a result of both operating leverage and accretion from proprietary brands. However, this level of profitability should not be extrapolated in the very short term as some reinvestment will be needed to further expand the reach of Lindberg and Maui Jim. As for the corporate cost that encompass our initiatives in digital innovation and IT modernization, their year-on-year increase was contained, and they are more or less back to their 2019 level. And after 2 years of intense investments in our growth platforms, CapEx is down 18% year-on-year. The remaining lines of the P&L are summarized on slide 30. Other non-recurring operating result was negative EUR 194 million, a EUR 26 million improvement compared to last year. The main expenses included impairment of assets in Russia as well as some reorganization costs and M&A-related expenses. Net financial charges amounted to EUR 260 million, a 5% decrease year-on-year. They included interest on lease liabilities for EUR 124 million. Excluding this, financial charges, of EUR 136 million, were down 19% year-on-year. Cost of debt at EUR 47 million increased slightly on the back of higher average outstanding debt and coupon. Other financial charges decreased to EUR 89 million with 2 opposite effects, an increase in the ineffective portion of hedging more than offset by the reversal of last year's fair value derivative on the Puma exchangeable bond redeemed in cash last September. Corporate tax amounted to EUR 1.4 billion, a 27.8% tax rate on recurring income, consistent with our normative tax rate. Group net income from continuing operations, excluding non-recurring items, exceeded EUR 3.7 billion, 11% increase year-on-year. A few comments on free cash flow on slide 31. Free cash flow generation was strong at EUR 3.2 billion, although down from the prior year. Most of the difference came from operating working cap, which had been quite low as a percentage of sales in 2021 and was more in line with industry average in 2022. The change is mostly related to inventory levels as a consequence of the weaker sales trend at the end of the year. This being said, our inventories are healthy. Finally, as previously mentioned, CapEx stood at EUR 1.1 billion, a 15% increase, exactly in line with revenue growth. On the net debt bridge on slide 32, you see that we paid over EUR 1.5 billion in dividend and completed our 2% share buyback program for more than EUR 1 billion, resulting in total shareholder return of EUR 2.6 billion during the year. We continued to gradually trim our stake in Puma, standing at 3% at year-end. Net financial investments include the acquisition of Maui Jim that was completed in October with some other more minor investments in strategic suppliers and real estate entities. My final comment will relate to the dividend on slide 33. The Board of Directors has proposed a dividend of EUR 14 per share, a 17% increase. The payout is consistent with our long-standing policy as a percentage of recurring net income and illustrates our confidence in continuing to generate significant cash flow. We paid an interim dividend of EUR 4.50 last month, and the balance should be paid in May, pending AGM approval. This ends my remarks. Before I hand over the mic to Francois, I invite you to watch a short video posted in the group. [Audio/Video Presentation] To talk about Kering, I could have chosen Gem, Gold, Glitter. I'd rather go with Gesture, the beginning of everything. Going back to our roots, it's intuitive, intimate, iconic. A story of audacity for 60 years. Our journey and excursion expanding the world we know exquisitely. Elegant like embroidery, naturally, responsibly, it rises reflecting the realm of nature, its rhythm. Like hundreds of flowers in bloom, a field of idea of plasmid inside, condensed to okay, as in care and craftsmanship, our keystone of timeless luxury, a kaleidoscope of diverse sophistication, alive and well in all our houses. K as in know-how, a treasurer of our houses magnified by creativity. It is our vision of luxury at the core of our value. Kering, Empowering Imagination.
François-Henri Pinault: I hope you enjoy this beautiful video, and thank you Jean-Marc, for your remarks. As you've heard from our presentation and from our Capital Markets Day last June, our priority are clear. We aim to strengthen the competitive position of all our houses. We are building their brand equity by constantly heightening their desirability, cultivating their legacy as well as their creativity. Whether the overall market will be supportive or not in 2023, well, it's too early to say, but we are ready to face a number of different scenarios. We are working on the future of our activities beyond the scope of short-term volatility in the macro or geopolitical environment. This year, we will celebrate 60 years since my father created this company that gave rise to this group and also the 10 years since we became Kering. And we have demonstrated our ability to create value by sharing practices, talents, information and growth platform across the houses under our control. We will pursue this journey in 2023 with patience and determination to secure and expand once again our influence among the world's top luxury group. And now Jean-Francois, Jean-Marc and I already to take your questions.
Operator: Thank you, Mr. Pinault. Ladies and gentlemen, we will now begin the question-and-answer session. [Operator Instructions]. Your first question comes from the line of Chiara Battistini with JPMorgan. Please go ahead.
Chiara Battistini: Good morning, thank you for taking my questions. The first one would be on Gucci as we go into 2023. I was wondering as we await for Sabato to join and launch in the second half of the year. How are you thinking about the product pipeline and Gucci evolution in 2023? And not just from a top line perspective, also from an investment and margin perspective? That would be my first question. And the second question is on China, whether you could give us any color on what you've been seeing so far since the beginning of the year? And how you're planning for China reopening to 2023? Thank you.
François-Henri Pinault: Not sure I got everything on your first question. So you asked about the Gucci product pipeline. And it was a question -- part of the question about the margin, I didn't get it... Okay. Sabato as you know, will join the company and we'll -- his first collection will be presented in September 23, of course. So the products will be in stores early next year. He will join around the course of Q2, but we won't, of course, in terms of product pipeline this year, we won't wait for the arrival of Sabato to continue to build the merchandising of Gucci. So we are working very actively, as you saw already last year on the new travel category, on the men category with the new fashion show and the new collection that has been presented in Milano. So this is on ongoing. We are pushing also strongly the elevation of the brand through the 360 campaigns and product line on the iconic lines of handbags, you saw the Jackie 61, 360 campaign at the beginning of this year. We'll have campaign coming up on the Horsebit 55. Also on the Bamboo bag that it's coming up. We will have a big campaign also on the fragrance Guilty for Man. So we have a full pipeline of event of product of campaign coming up. And then we will have the arrival of Sabato and the new, the first collection of Sabato in September.
Jean-Marc Duplaix: Maybe I will jump on the profitability part, starting maybe with the top line, which is, of course, very instrumental in as regard the improvement of the profitability with the operating leverage we could expect. First, as we mentioned, 2022 has been driven in terms of growth through the AUR increase, and we still expect some uplift in terms of AUR driven by the elevation strategy, in terms of collection structure and the introduction of newness during the year. But we expect also some increase driven by volumes, especially thanks to China reopening, and we will come back to that with your second question and which come, by the way, earlier than expected. And we expect also some improvement due to more tourism resuming in Japan, in the rest of Asia and, of course, in Europe. So it should help to grow the volumes in retail, while in wholesale, trend should be more or less stable for the year. Our first objective, obviously, is to gradually improve the top line momentum. And then profitability is an outcome and will follow. And as already mentioned, we will continue to invest in our brands. So there is some operating leverage potential. But let's say that the profitability improvement that we expect for the following years may not be completely in AUR, but we are quite confident that we can resume a positive trajectory starting from 2023 in terms of profitability. Then I will comment rapidly on China. Maybe Francois-Henri will give his feedback after a business trip he made recently in China. Obviously, it's true that it's a little bit difficult to read the performance in Greater China, so Mainland China, Hong Kong and Macau in the sense that we had Valentine's Day recently. And you know also that because of the calendar of the Chinese New Year, we need to wait for the end of February to have a global picture of the 2 months, the first two months of the year. But clearly, the Chinese New Year, if we compare the relevant weeks, has been better than expected initially, and we clearly observed a quite rebound -- a strong rebound of the purchases in Greater China and also some travels in Asia where the Chinese travellers could go. So it's quite encouraging. It's an encouraging start for the year in China. But of course, we cannot completely extrapolate for the rest of the year. But it's very encouraging across the board for Gucci, but also for the other brands in the group.
François-Henri Pinault: Yes, I just want to add because I had the opportunity two weeks ago at the end of January to spend one week in Mainland China. I went to Chengdu, to Shanghai, Nanjing and Beijing. And two things. First of all, the level of energy that you have there, after what they lived in December or earlier last year in terms of lockdown or in terms of the wave of the virus in December. It's absolutely striking to see how the people are reacting. Malls are full, streets are full. People have no fear of going out or that the policy could be reversed or whatsoever. They are completely back as in a normal life. I thought it would have been more gradual, but from what I saw, it's very, very encouraging. And more importantly, I had the opportunity to meet some representant of the authorities, the Chinese authorities and in particular, in Shanghai, the Secretary of the Communist Party for Shanghai, Mr. Chen Jining and I was very, very surprised by the level of support expressed by the secretary to consumption, domestic consumption, quality domestic consumption and to the support to the private sectors, the support to international companies, how strong they want, particularly Shanghai, to be an international hub. So the business environment from the expression of the authorities is much, much welcoming than it used to be. And the support is deeply expressed, and I've never seen that before. So it's following the speech of the President Xi Jinping at the Congress in November. But that discussion I had with the secretary was relayed publicly on the national network the day after. Using all this declaration to reinforce the will of the authorities to support consumption again, to support international companies, to support international development of Shanghai and China. So it's something very important to say because it looks like they are really, really committed to bring back China at a level of growth that is much higher than what it was last year.
Operator: Thank you. The next question comes from Edouard Aubin with Morgan Stanley. Please go ahead.
Edouard Aubin: Yeah, good morning. So three questions for me. The first one on the U.S. So as you mentioned in your prepared remarks, so you had a bit of an underperformance slowdown in Q4. If you could please come back on the drivers. Is it as you've mentioned previously, maybe some of the aspirational weakness with the more aspiration customers on that? So that would be helpful. And if you could please help us understand how the year has started for Gucci in the U.S.? That's question number one. Question number two, Francois-Henri, you talked about the hiring of Sabato de Sarno and its vision, without going into maybe too much detail, but kind of what made him stand out in terms of the recruitment process that would be helpful to understand. And my last question is just kind of a follow-up on Gucci's margin for Jean-Marc. But some of your peers, some of the leading brands have really stepped up investments last year in 2022. And to what extent kind of the bar has been raised in terms of the need to invest behind some of these leading brands. And then related to that, given that Gucci was a little bit on the back foot, given the transition with the Creative Director in transition, is there a catch-up effect that could impact margin this year? Thank you.
Jean-Marc Duplaix: Thank you Edouard for your three questions. So I will start with the one about the North America. I think that we had already flagged during the Q3 call some elements explaining some weakness in the U.S. First, of course, and it's obvious the fact that we have a lot of quite wealthy and affluent American traveling to Europe and buying abroad, which has an impact. And that's the reason why now if you look at the cluster and we mentioned specifically that Gucci was probably a case apart, that all the other brands are positive with the American cluster. Gucci is negative because now if we look on a three-year stack you know that Gucci had several very strong quarters with the American clusters. Now looking at the profile of the consumption in the U.S. What we see is that if there are certain categories of products which are performing a little bit not on par with some other categories. And these categories correspond indeed to some categories if we think about sneakers and more casual wear correspond to typically the purchases made by more aspirational customers. Does it mean that there is a real weakness with the aspirational customers, is difficult to say. What we see also is that the clientele above 40 years or above 30 years is globally more resilient, so the one with higher purchasing power or with more accumulated savings. That being said, what is interesting is that despite that performance, if we look at the sales density in the U.S. and the level of traffic we have in the stores, it's still very high, and it's amongst the top levels we ever experienced in the U.S. So I would say that the comments we made in the past quarters about the potential of the U.S. market are unchanged, and we are firmly convinced that there is still a huge potential in the U.S. but probably waiting a little bit maybe to have more visibility about what would be the evolution of the economy in the U.S., how long will last the inflation. There is a segment of the clientele, which is less keen to buy luxury products. And this is probably the most aspirational segment of the clientele.
François-Henri Pinault: To answer your question about Sabato and the choice of Sabato. As you probably know, we have a very structured process when it comes to the recruitment of Creative Director for the different brands. And we use that process, of course, based also on as I explained during my presentation, all the work that has been done previously to put in place a new design organization with the product strategy on one side, the brand strategy on the other side and the design studios, the triangle, the three pillars of the organization at Gucci. So this has been explained also. And we went through different candidates, and we asked them to do projects, the first one from scratch to see how they project the brand into modernity. And the second one after looking at the archive of Gucci to see how they blend this modernity with the heritage. And I must say, and it was obvious for the team at Gucci. We do that. We have a team at Kering. We have a team at Gucci and we work together through the whole process. And what we saw from Sabato in terms of his capability to bring modernity in his creative vision on one side to strengthen the fashion authority component of the brand, which is key. But at the same time, to capitalize on the heritage of the brand, how we understand that, how we blend the two to have this dual target of being strong on the fashion component and building the timeless part of Gucci was striking. And this is really what makes a big, big difference with the other candidate and how we came with the choice of Sabato.
Jean-Marc Duplaix: Lastly, your question about profitability and the need to invest more in the brand is totally relevant. And you may remember, it's something that I have already elaborated in the past on because I think it's true that in the past few years, if we look at the investments made in the stores, in terms of events, events in the stores, but also of course, fashion shows and so on, digital communication, clearly, there was an inflation of the investment budget, the investments to be made. I think, obviously, of course, we have to raise the bar in terms of investments, both CapEx and OpEx, but it's already done in many of our brands. If we think about Saint Laurent typically, Saint Laurent has increased a lot the budget of communication about the fashion show and so on for several years. And the same for Gucci. Gucci in a way, if you look at the operating expense of this year, we had mentioned during H1 that there was a catch-up in terms of investments as regards to communication and marketing budget. There was a double-digit increase of the operating expenses during the first half. We had mentioned that already last year in H2, we had made an incremental effort. And indeed, this year, we have continued to invest in the brand. But in H2, the increase of operating expense was rather high single digit if we look on a constant currency basis because here again, you have some FX impact. So I think that clearly, we have already raised the bar. It does explain in a way part of the dilution of the EBIT margin at Gucci, which is a combination of a soft trend in terms of top line, but also more investment in the brand. Some of them have been commented already by Marco Bizzarri during the Capital Market Day. If we think about the evolution of the studio and some recruitments we made in the studio to support the designer, including the new designer. So I think we should continue to invest in the brand going forward. And that's the reason why I mentioned that we should expect a more modest improvement of the EBIT margin for 2023, but I think that we have already the right setup in place.
François-Henri Pinault: Just to add on what Jean-Marc is saying, it's important that I don't want to sacrifice the long-term vision we have for Gucci for shorter consideration. So this is why despite the transition, we are continuing investing. We will continue this year, as I said, even if Sabato is arriving later this year. We have, for instance, the cruise collection will be presented with a fashion show in Seoul. We will have this Gucci cosmos exhibit on the heritage of Gucci that will start in April to June in Shanghai and then will go all around the world. So we're not stopping. We're building something consistent for the future, and this is an ongoing process.
Operator: The next question comes from Antoine Belge with BNP Exane.
Antoine Belge: Yes, good morning it's Antoine Belge with BNP Paribas Exane. Three questions please. First of all, still on Sabato de Sarno. I think in June, you had announced that there would be a bit of reorganization within the design studio, notably Remo Macco was named in charge of more timeless products and Alessandro was asked to refocus more on the fashion show. So is it still sort of a bit of a hybrid organization going forward? Or is it going to be a bit of a change there. And regarding the Michele products, are we going to see a smooth sort of discontinuation? Or could we see some kind of a clearance sale? Question number two, on Balenciaga. You mentioned December being quite tough in U.S. in December. What we're hearing is that January is not any better. So how -- what sort of countermeasure could you put in place? And also some people have been investors actually have been expecting maybe some people changes at Balenciaga. And third, regarding the use of cash and M&A, you did an important hiring in beauty recently. So is beauty, the only sort of M&A opportunities that you're looking at, at the moment? Or are you also looking at, I would say, more brands or any other sort of opportunities outside of that possible expansion in beauty. And if you're not doing this this year, could we expect a buyback, share buyback as we had in 2022? Thank you very much.
François-Henri Pinault: Thank you Antoine. So first question was related to the studio reorganization that we did last year and the arrival of Sabato. No, no, we are not changing again the change organization that has been done last year, starting early 2022, and it's not just a studio, but if you remember well the CMD presentation, it's all about the product strategy with the arrival of Maria Cristina Lomanto on one side and the communication strategy, the brand strategy with Suzanne Chokachi, taking the position as Chief Brand and Client Officer; and of course, the studio with two focus, one on the fashion authority part of the brand and the timelessness part. So this is, of course, the key element of the new organization that will support and inspire Sabato going forward. Of course, when he will arrive, we look with him what could be improved in the studio. Even if we have one creative director, doesn't mean that we don't have very strong talent in each category, meaning on men, women and accessories. That's part of the request that we have. We want to have a very strong team, very strong talent behind. He has a role of director in a musical sense of this team and not have only not talented people below him. So it's something that is very, very important to us. It's important to maintain the consistency of the expression of the brand following his creative vision but also making sure that we feed him with the right brand strategy, the right product strategy so that we are in sync between product, communication image and creativity to build the future of Gucci. And this is something that he's completely at ease with, and this is what we have in front of us with the arrival of Sabato.
Jean-Francois Palus: Regarding Balenciaga, yes, of course, the regrettable controversy hit the performance in late November and December. And the impact of the controversy is now fading away. But of course, it is still affecting trading right now. But we think that this should be over in the course of Q2. Then we conducted two surveys, one internally and one externally in order to have a return of experience on this regrettable incident. And we came out with the conclusion that there was no fouls from anyone, but just errors of judgment because procedures were adequately followed. So we are now changing some of the procedures. We are completing some others. And globally, we are reinforcing the formalization of this type of internal control. On top of that, we also are changing the organization at Balenciaga first because the image department has been reorganized and reshuffled with also an image board that is given a broad overview of all content. And also, they took a best-in-class agency to also supervise the control over marketing content. Then at group level, we bring in, we brought in additional guidelines on some topics to be taken care of. And we are contemplating the creation of a position at group level to be in charge of brand safety in order to supervise this work at group level. Now considering the change of people, again, it's not the question. It is all about strengthening the organization, bringing in more diversity in judgments, bringing in more collective intelligence and ability to express dissenting opinions but we don't intend to change people. Regarding your third question, the venture into beauty is not about M&A. It's first about organic growth. And of course, we will be nimble and flexible, and we are likely to execute some M&A transactions should there be any opportunity that would bring synergies to speed up our expansion into beauty. But again, it's the same with some other brands in other segments or other categories, we will be, as always, nimble and flexible and will grab an opportunity if they appear and if the conditions are adequate.
Antoine Belge: Thank you. Maybe on the other M&A opportunities and potential for returning cash to shareholders like you did in '22?
Jean-Francois Palus: Yes. Again, as you've seen in '22, return to shareholders is something that we are very careful with. And we are committed to have a steady payout ratio for dividend. And again, we are flexible and agile as regards share buybacks.
Antoine Belge: Thank you very much.
Operator: The next question comes from Zuzanna Pusz with UBS.
Zuzanna Pusz: Hi, good morning. Thank you for taking my question. I have just two left. So maybe first of all, a follow-up on Balenciaga and other houses more generally. How should we think of the development of other houses division this year? I guess maybe specifically margins in light of still somewhat impacted trading in Balenciaga and also potential continuation of the wholesale rationalization? And then just a second question on pricing, maybe broadly at the group level, but also for Gucci given the transition that will be happening at the brand? And then just, sorry, a third one, apologies. So just a follow-up on the discontinuation of the product from Alessandro Michele. I remember in 2015, there were some write-downs. How should we think of that? What are your plans? Do you expect any impact or is going to be smooth that would be probably a meaningful driver of the margin as well for Gucci, thank you.
Jean-Marc Duplaix: I want to start with the profile of the margin of the other houses. In fact, I think as mentioned before, we are investing in our brands for the long run. And clearly, when you look at the profile of the revenues, there was a moderation in H2 and especially in December for the reasons you know, and at Balenciaga even more specifically. And we have decided to keep the level of investments in the brand at the same level. And there was just a question of operating leverage in H2. That clearly had an impact. However, it does not change our views as regards the potential of our brands in terms of profitability. Balenciaga is already a very profitable brand, which was able to protect its profitability compared to last year. And we are confident that we'll continue to invest in the brand without impairing its capacity to improve the profitability. So we have been very transparent in the past few years that these brands, considering the stage of maturity they have and the investments they have to make. And you have mentioned wholesale or wholesale rationalization has an impact at the end of the day because it means that you need to build even more your retail network with some investments, both CapEx and OpEx, also inventories, and it can have short term, some impact on the profitability. Typically, next year, Balenciaga will be in terms of contribution of retail at a very high percentage, will be very exclusive in terms of distribution. And in such a transition, it may have an impact on the profitability. But I can ensure you that we are working for each brand of that segment to improve the profitability and that's the plan for 2023.
Jean-Francois Palus: Regarding pricing strategy, there is no difference between the group strategy and Gucci's strategy. It's all the same. And it's based on the fact that all our brands have the power to nurture the desirability and enhance their customer proposition by elevating the segments and the products and the services and the assortment based on quality and creativity. So again, the pricing powers that the brands have rely on this ability to augment and elevate price, product segments and also to increase prices. But again, it's not one without the other and elevating the brand is very good for the long term, and this is what we bank on. And I would say that 2/3 of the increase in the average retail price comes from the elevation of the product assortment and 1/3 from price increases. And again, for last year, we used some price increase, particularly in H1, but also in Q4. And for '23, depending on geo-pricing situations, depending on tourism resumption, we will also use price increases when we find it interesting.
François-Henri Pinault: Just to give you some elements about the change of Creative Director in terms of product. The last collection of Alessandro, Twinsburg will hit the store as planned in March and April. It has been developed in terms of commercial collection already by the team of Maria Cristina Lomanto. So we have products that are quite large in term of capability of embracing different type of customers going forward. So we should improve the sell-through of this collection. So and then naturally, this will be the last collection with that aesthetic. Besides that, there won't be a rupture. There would be a smooth transition to the new aesthetic of Sabato, so no big bang in terms of change of product maybe, Jean-Marc...
Jean-Marc Duplaix: Yes. I think it's important to remind also the fact that as we already commented in the past, there is a percentage of the collection, of the sales, which are driven by carryover lines. We are used to provide a figure around 60% to 65% of carryover in the collections with of course, a higher proportion of newness in ready-to-wear. And even there was along the year, some inflection in terms of aesthetic if we consider also the investments we made in the luggage category, there is nothing to do with the aesthetic of Alessandro. So at the end of the day, even if it's true that at the end of the year, for all the houses in the group, there is a higher level of inventories. The situation is quite healthy in terms of inventory. The percentage of all collections in the inventories is probably at a low point in fact. So we are very confident that there is no specific issue there, and there is no reason to record an additional depreciation on these inventories.
Operator: Thank you very much. The next question comes from Thomas Chauvet with Citigroup.
Thomas Chauvet: Good morning. I have three questions, please. The first one, following up on Gucci, I was wondering irrespective of the name of the designer, Michele leaving and De Sarno joining how far would you say you are in the rebalancing exercise you started 12/18 months ago towards more classic collections and by new categories, higher quality of carry over items? You mentioned that Jean-Marc, you are at double digit last year. And any other metrics you can share on how advanced you are and irrespective of De Sarno joining? The second question on Kering Eyewear, it had a great profitability last year, understanding of both organic and through the accretion of the Lindberg and Maui Jim acquisition. Do you think the scope of Kering Eyewear could evolve in the future beyond managing or owning brand? Could you expand into related activities, such as lenses, eyewear services or even operating optical stores in more integrated group, a bit similar to Essilor Luxottica. And finally, for Francois-Henri, a question about Balenciaga, but also the fashion industry more broadly. I read last week in Vogue an interview from Demna, your Balenciaga designer coming back to the incident of last year, but also talking about the future, he seemed to say he wanted to return to some more classic roots of this 100-year-old couture house. He talked about craft, about tailoring, about enjoying making beautiful clothes. Did you feel the days of selling relatively easily streetwear, casual wear product inspired by pop culture, as you mentioned, are gone? And there's a trend in this cycle towards maybe more classic, formal aesthetic that the Kering Group more broadly will embrace, Gucci is rebalancing the classic and fashion part, Bottega and Saint Laurent have a quite classic DNA balance, Balenciaga might be able. I'm keen to hear your views on where you think the aesthetic of fashion having in the future. Thank you.
François-Henri Pinault: So the first question about the rebalancing. So as you know, we have started that some years ago, we are accelerating. As we say, it will take time, the timelessness of the brand and the strengthening of that side of the brand is coming up very nicely and very smoothly, but it will take time. We need to have always a strong fashion component on the side of that, and this is the right balance that we need to focus on. But it's going very well. You saw the launch, as we said last year, we have 2 specific focus. One was travel, where Gucci has a strong heritage and the other one was men. So you saw already the launch of the new travel collection, the opening in Paris of the specific stores to display this full new collection. This is really back to the heritage of the brand, the Florentine roots of Gucci. And then you saw the first men's collection in January that we will push forward going in the next month. So that's part of the rebalancing with some more timeless product inside the brand. So Maria Cristina Lomanto has three key objectives this year. One is, as you understood, Gucci's back to the fashion calendar with 6 fashion shows this year. So she's working very closely, as I explained with the design studio, but also with the supply chain to make sure that we bring the full collection from day one in the development of those different fashion shows. The second one is to make sure that we continue, and we accelerate and strengthen the elevation of all the product category by delivering a higher price products in all categories, not just few categories. And we have for that, what we call the Salon. We have opened already some of them. We will have a stand-alone one dedicated in L.A. opened in April, and we have a strong planning of events on that. So Salon is to really recruit very, very high-end customers at Gucci, and we are offering through 6 big categories, very high-level products above EUR 40,000 or EUR 50,000 that can go through some million euros in high jewelry, for instance, but it's also in ready-to-wear. It's also in accessories, in gifting, in furniture. So and this is part of the strategy of elevating the brand. So this is coming up very strongly this year because we will have around 30 events around that. It will be some floors dedicated in certain stores to that, some areas in smaller stores to that and one stand-alone in Los Angeles. So you will see that to strengthen this year. So the rebalancing is well on its track. We are very pleased with that. We have as Jean-Marc says, AURs going up. High Jewelry is developing very, very nicely. We doubled the size of that last year. So we are very confident on that. But again, Gucci's about the right balance between the fashion authority positioning and capitalizing on the heritage to build the timeless part of Gucci. It's not one or the other, it's the two. And this is where Sabato will be absolutely key in coming in Gucci by bringing not only his creative vision but its capability to embrace the heritage of Gucci to bring that into the modernity that we need.
Jean-Marc Duplaix: Jean-Francois will answer on the Kering Eyewear part. Just maybe the point of is not to elaborate on the metrics. We will follow specifically for this elevation strategy and the rebalancing to timeless. And by the way, it's very difficult to put metrics on timeless versus what is more fashion. It's more subtle. I think the increase of AUR, it's, of course, very important. But if it's made at the detriment of the more aspirational customers, it's not exactly what has to be done. So what is important is just to find the right balance. I think that we are very encouraged by the success of some High Jewelry collections, the introduction of some more -- some bags with higher price points like the Attache or the Blondie, which has been priced at a certain level, which does help, which does contribute to the elevation of the selling price, but we are also still vigilant also to continue to attract more aspirational customers, and we have some collection for this customers. So this is a question of balance. Of course, we see also very positive signs with the contribution of very important customers, which has increased in the total sales of Gucci in 2022, but be sure that we will be vigilant about the right balance between fashion and timeless, and what are the products helping the brands to engage with aspirational customers and of course, to take care of the more affluent customers.
Jean-Francois Palus: Regarding Kering Eyewear, we are very satisfied with the profitability but also and most of it primarily with the trajectory of revenue. And short term, we are very busy integrating Maui Jim and Lindberg and also leveraging on synergies, and Thomas you mentioned lenses. And now we are contemplating to use Maui Jim lenses into Gucci frames, which could happen quite shortly. Midterm, we want to expand Maui Jim and Lindberg geographically because we have a significant potential to tap markets in Asia, China and so on and so forth. And long term, we also have some other potentials like going for Lindberg going to sunglasses and conversely for Maui Jim going to prescription frames. So there will also be, in the long term, maybe some additions of new luxury brands but again, we are very much open and again, agile regarding Kering Eyewear.
François-Henri Pinault: Regarding your question about Demna and Jean-Marc asked me to be shorter in my answers, so I'll try to be short, but I'm so passionate about what we do in the group. It's difficult. So you saw the interview of Demna in Vogue. So what you need to understand is that Demna has absolutely a passion for Cristobal Balenciaga, for the history of the brand since day one. Everything is done is his vision, modern vision of Balenciaga heritage. So it's not something different, completely disconnected from the past. On the contrary, it's always been about the work of Cristobal Balenciaga. So, and you saw through the haute couture collection, how capable he is to elevate the brand. So as for all the brands, Balenciaga has an elevation plan that we started last year, Demna is working on that. What happened in December will make us stronger and will probably accelerate the evolution of Balenciaga that Demna started. When he mentioned more craft more on the product that it will be probably less theatrical because there was some misunderstanding about what was around the product at Balenciaga in the fashion show, so make it more simple, more dedicated and focused on the product because this is what he likes. And you will see also, of course, an elevation of the brand going forward. But it's not a rupture from streetwear to something else. It's a natural evolution that is probably accelerating because of what happened. But this is why I'm very confident that with the talent of Demna under the leadership of Cédric that we will overcome this very difficult issues that we had in December by continuing to move Balenciaga upward and continuing to develop the brand.
Operator: The next question comes from Louise Singlehurst with Goldman Sachs. Please go ahead.
Louise Singlehurst: Hi, good morning everyone. Thanks for taking my question and thank you for the information so far. I'll keep it brief with two questions. Just a follow-up from, in terms of the deployment of the Creative Director at Gucci. I suppose, given the ten years of Alessandro Michele and how long he's been with the business and prior years before being made creative director. Can you tell us if there's any more like change or envisage a lot has happened with the team over the last few months and when we spoke to you at the Capital Markets Day, but I wonder if there's any more of a reset to happen to achieve the transition that you're targeting? And then my second question was a follow-up on the level of investment. I wonder Jean-Marc, if you can tell us about the buckets of spend and the increase towards the end of the year with that pure A&P and just about the underlying level of inflation we should expect that OpEx in total for 2023. Thank you.
François-Henri Pinault: So if I understood your first question. So of course, with the arrival of Sabato at Gucci, there will be a significant evolution in the aesthetic of the brand in the fashion component. So his vision of modernity based on the heritage of the brand is really different from what Alessandro brought to the brand with the success that we had over the last eight years. So it's a new chapter of the brand. And this will be done in a completely different setup, as you understood, much stronger setup that we put in place between product, between image communication and the design studio. So it's yes, we expect from that a new energy, a new reset of the brand in that fashion component significantly, but more connected, more again, more capitalizing on the heritage of Gucci. So that's the completely new direction that we are taking, and that makes me very, very confident in our capability to resume the growth trajectory of Gucci.
Louise Singlehurst: Apologies. Can I just ask to check on the personnel changes rather than the actual product changes which you detailed on the call? Thank you.
François-Henri Pinault: Again, we had the question previously. I guess we did some change in the studio already last year, significant to cope with this elevation strategy of the brand, having a strong team in women, in men and in accessories and also someone overseeing the development of the elevation part of all the categories. Of course, with Sabato we'll review if he needs more of something in the way to strengthen again what has to be strengthened in his opinion, but it won't be major or structural change of the design studio. It will be reinforcing if he thinks he needs more of a certain talent in certain areas, we will, of course, work with him on that. But no major change. Again, the overall structure and organization to support him and inspire him in his studio ones, but also around with merchandising and communication has been done over the course of last year.
Jean-Marc Duplaix: Your question about profitability. Of course, you have so many moving pieces that it's difficult to give a very short answer and spot on to your question, but we could envisage your question according to different angles. The first one is about the catch-up in terms of operating expenses. We had mentioned that it had started already quite massively during H2 last year. And like the other brands at the end of the day, for Gucci, the bulk of the increase in terms of OpEx happened during the first half, double-digit growth of the OpEx, while in the second half, it was more single-digit growth in terms of OpEx. Now if we take a more long-term perspective and we look back at what was the profitability of Gucci in 2019 and what are the different pieces, explaining the decrease of profitability. I would say that 2/3 of the decrease of profitability is coming from the store expenses and the communication expenses. Why the store expenses? Because clearly, when there was such a level of traffic in the store, the investments we had to make in terms of store experience and in terms of store events, there was less intensity. So now that the traffic has normalized, clearly, there are more investments in the stores. You will have mentioned -- you will have noticed maybe that there was a lot of pop-in activities this year, and we will continue to have a lot of pop-in activities and events presentation of capsule collections in the stores, and it has a cost. And jumping on the question of Edouard previously in the meeting. Clearly, also, there is an intensification of the competition in terms of selection of locations, in terms of quality of the experience in the stores, and it has contributed to increase the cost base of the store footprint. And the second element is about the marketing and communication expenses. We had already mentioned that we are more or less now on par with the average of the industry in terms of communication expenses or communication in a broad sense and communication and marketing expenses. So we don't anticipate for next year another wave of massive increase of the different lines of OpEx. In a context where such a change at Gucci and after such a year, it's also an occasion to think about reengineering part of the organization to be more efficient, more agile, more flexible. So I think that we are working also to find some savings in order to fuel the investments in some areas. That's the reason why quite consistent with what happened during H2, we target rather a mid-single-digit increase of the OpEx for next year.
Louise Singlehurst: Thank you very much.
Operator: The next question comes from Charles-Louis Scotti with Kepler Cheuvreux. Please go ahead.
Charles-Louis Scotti: Yes. Good morning, thank you for taking my questions. I have two questions. The first one, a follow-up on the beauty business, the Gucci license is rumored to terminate in 2028. Don't you see a risk that your partner would further underinvest in the brand considering your recent move? And will you consider being forced to terminate the contract earlier than expected? And second question, the margin at Saint Laurent is already above your short-term target and not far from your midterm target. Don't you see upside to your midterm margin target or if you can give us some color on the margin trajectory and same question for Kering Eyewear. Thank you very much.
Jean-Francois Palus: We will start our beauty venture with Bottega Veneta, Balenciaga, Alexander McQueen, Pomellato and Qeelin. And we trust that our partners for the other brands will continue to work with us in the good relationship that we are having right now.
Jean-Marc Duplaix: Regarding Saint Laurent, I think we had presented last June midterm target for the brand, or Francesca did it. I think, of course, the fact that we have achieved a first milestone, of course, it does not change our views for the future. The objectives set by Francesca are still the same. The question of trajectory of profitability to reach that target is your question. And as we have mentioned also we will resume store openings in 2023 for Saint Laurent. We'll have more store openings with some dilution, further rationalization of wholesale, wholesale should be partly a drag for the performance of Saint Laurent next year, but with a push, of course, in retail. So retail, which should be the main driver of the growth of the brand next year. Considering the operating leverage we have demonstrated at Saint Laurent, I'm quite confident that despite this transition from more, from less wholesale to more retail with some new openings, despite the dilution which is always brought by this type of investments, the profitability should continue to grow, maybe at a more modest pace as we had already mentioned in the past. But I don't see any structural obstacle to have another year of improvement of the profitability at Saint Laurent, with the same objective in terms -- long-term objective for the brand. As regards Kering Eyewear, I think that I made a comment during my preliminary remarks about the fact that we had reached a high percentage of profitability this year with Kering Eyewear. Here, again, Roberto Vedovotto, the CEO of Kering Eyewear, had mentioned or presented some objectives or some targets for Kering Eyewear. Clearly, the fact that you add to the portfolio some proprietary brands like Lindberg and Maui Jim contribute to increase the profitability. But at the same time, as mentioned by Jean-Francois, there is a need to propel this brand in some new markets with some investments. So we can guess that even if the profitability of Kering Eyewear business will remain high, it will decrease in 2023, but the long-term target set by Robert Vedovotto is still valid, of course.
Operator: The next question comes from Luca Solca with Bernstein.
Luca Solca: You were talking about revised processes to safeguard the brands from incidents like the ones we saw during the fourth quarter. I was wondering how these compliance processes will work, if they are at the brand level or if you have set up a group at corporate level to potentially valid communication content and make sure that it doesn't inadvertently clearly, offend this audience or that audience. Second, just a confirmation on my understanding of what you're planning to do on Gucci and the different part you're taking now relative to what, for example, particular Marco and Frida Giannini were attempting 10 years ago. So my understanding is that this is not about becoming classic and timeless alone, but it's mixing timeless and fashion authority. I wonder if this fashion authority could potentially be more multifaceted as such a big revenue level for Gucci could possibly justify. We've seen some of your peers move to having two or more creative leaders that could potentially make Gucci more relevant or at least create some kind of growth relay and which could potentially also fit Sabato's profile, which is from what I understand deeper in men's wear rather than women's wear if we understood correctly. The last question is about maintaining momentum at Gucci. And the stratagems you anticipate to use for the catwalk, if I look at the next two fashion shows, the women's wear for winter collection and the men's wear Spring/Summer collection, this could potentially seen as orphan shows. I wonder if you have something up your sleeve that could potentially attract attention from the public in general. Thank you very much indeed.
Jean-Francois Palus: Thank you Luca. Regarding internal control at Kering, in fact, we have three major tools that rule both brands and the group as a whole. The first one is the group charter that is about the interaction between brands among themselves and brands with the corporate. And then we also have our code of ethics, which is shared among the 47,000 employees around the world. And eventually, we have our internal control procedures. And at group level, we have a framework of these procedures, and each procedure is then adapted to house's realities. Then focusing on this control of marketing content. Again, like I said, we will complete those procedures. We will also enhance the formalization of the control process. We will bring in, we are bringing in additional guidelines from group to the houses, which will then again adapt those guidelines to their own needs. And we will also set up a kind of a new position that will be in charge of brand safety at corporate level that will supervise this work and will also sometime arbitrate some decisions.
François-Henri Pinault: Okay Luca, thank you for your question about Gucci and you're right, and you perfectly understood, and I'm not surprised about that. It's true that it's completely different from what was done in 2012 at Gucci. We really aim, as I said, to have a very strong fashion authority component. This is the positioning of the brand on which we create the desirability and maintaining that and building and strengthening the timeless part of the brand at the same time, making it very, very consistent across the board, not two different brands on the two different segments, but really one and only brand. And it's true that because of this fashion component and among I think, among the mega brands of this industry, we have the strongest fashion component, and we need this consistency across the board. And this is why we have this one creative director on top of a team. And again, it doesn't mean that we don't have the talent or the strong people that could be a creative director by themselves below. We have very strong talent on men, on women, on accessories, and we will continue to build that. It's not a one-man only approach. It's really a team approach. As you say, it's multifaceted, but we need this consistency and this is why we maintain the choice of one creative director. But what is different already from last year, the level of talent and maturity and experience that we brought in the studio on men, on women, on accessories is very different from the past. And this is how we are different because of the positioning of the brand. And as you know, there is not one size fits everything when it comes to the creative director position. It's really much related to the maturity of the brand, the positioning of the brand. And when it comes to Gucci, we have the specificity that needs this consistency. And we have to also to manage the scale and richness, we could call it a complexity that cannot fall into the responsibility of one single mind. So it's really a team approach inside the studio itself, but also around with as I mentioned, image on one side and product on the other side. So at the end of the day, it's very much the same input creatively speaking, in a different organization linked to the difference in positioning of Gucci compared to some of its peers. Then the question was about the next fashion show. As I said, we're not waiting for the arrival of Sabato to regain the momentum, to launch initiative, events. I mentioned Gucci Cosmos with the heritage exhibit that will travel the world. We have the fashion show in Seoul in May. So we have a very strong year of events, of launches. So the fashion show that you will have at the end of February, at the end of this month in Milan for women is a real fashion show. There's no way it could be below the radar fashion. It will be a strong fashion show put up with the team at Gucci. So we are very confident with that. Same thing in Seoul. And of course, as soon as Sabato is on board, he will infuse his vision into not only the fashion show in September because, as you know, we have collaboration, we have drops, we have many, many things that will be addressed by Sabato as soon as he arrives. So the momentum is already coming back.
Jean-Marc Duplaix: I know that many of you have a lot of questions. So we are unfortunately unable to take all of them, so we will take one last question.
Operator: The next question comes from Rogerio Fujimori with Stifel.
Rogerio Fujimori: Good morning and thanks for taking my two questions, if I may. The first one is about Chinese. I was just wondering if you could elaborate, I think, on Jean-Marc's comment on better-than-expected Chinese New Year trading. If you could share how sales in Chinese New Year '22 compared to last year and elaborate what you see, I think, in terms of traffic in Hainan, Macau and other destinations where the Chinese can travel. So if you could just help us a bit on the shape of the recovery in China in our models. And then on Western Europe, I think sales were up 4% for Gucci and 16% for the group in Q4. Just wondering if you could break down the growth from tourism and locals, put differently, what was the growth for the European cluster in Q4? And whether have you seen any softness for the European cluster in the aspirational segment that you saw in the U.S. Thank you.
Jean-Marc Duplaix: Once again, I think it's very difficult to comment on the Chinese New Year because the fact that there was some recovery during January cannot help us to extrapolate for what will happen for the full year. For sure, it's very encouraging. And as said by Francois-Henri we know that the Chinese authorities are very committed to support the economy, to support the relaunch of the consumption. We know that proportionally, if you look at the investments that the Chinese authorities want to inject in the economy, it's quite massive. But to know what will be the impact on the consumption, it's too early. It's the same as regards when the Chinese tourists will come back to Europe. We could bet that it could happen maybe during H2, but it's not given. So what we have said is that, overall, the Chinese New Year went quite well, above our expectations, above our plans in terms of trends. But it's too early to say that there is a revenge consumption behavior from the Chinese consumer. It's positive. The Chinese cluster is, as a result, positive in terms of sales, if we look at the end of January with the contribution also of Hong Kong and Macau because I think that Macau was particularly supportive, but also Hong Kong recovered. We started to see also some Chinese consumers in some Asian countries, contributing to accelerate the growth further in this region, in Southeast Asia. But that what I can say so far and as regards more specifically Hainan, no specific comment to bring. And Hainan was not specifically the bright spot of this Chinese New Year, and we were more interested on what was happening in our stores, especially in tier one cities, which are, as you know, very important for us. Western Europe, it's true that we started to see some moderation in terms of consumption by local consumers, even if the consumption of European consumers remain quite healthy. When we think about European consumer, we should think about locals in the domestic market, but also Western European clients traveling within Europe. So what has to be analyzed is, of course, the European cluster as such and not only the French in France or the Italian in Italy. The trends remain quite healthy during Q4, but with clearly a moderation, especially at Gucci, which had a very demanding comp base. But it's true that the performance in Q4 was principally driven or mainly driven by tourism. Tourism was still very strong in Q4. It continued to be strong in January and still in Feb. You can see that in the European cities, you have still a lot of tourists. And clearly, until now beginning of Q1 of this year, tourism is still very instrumental in the performance of Europe while the demand in Europe continues to moderate. I would not flag specifically the aspirational consumer and so on. I think it's just a question of purchasing power. Here again, like we observed in the U.S., it's more about the clientele above 30 or about 40 or between 40 and 60 which has been the most dynamic probably here again because of accumulation of savings and of course, purchasing power. And it's still the same at the beginning of 2023.
Rogerio Fujimori: Thank you.
François-Henri Pinault: So well, thank you very much to all of you for your attention and your continued interest in Kering. Thank you also for your questions. I hope we've answered most of them during this long call, even though my answers were a little bit too long. As usual, Claire and the team will be available for any additional request you may have in the coming days. We have presented to you a road map for this year with the management teams of all our houses and with the 47,000 Kering women and men, we will work all to deliver a healthy performance in 2023, and I am absolutely confident and convinced in our prospect for the years to come. Thank you again, and have an excellent day. Thank you.